Operator: Good day, ladies and gentlemen, and welcome to the Matrix Service Company conference call to discuss the results for the first quarter of fiscal 2014. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the conference over to today's host, Mr. Kevin Cavanah, Vice President and CFO for Matrix Service Company. Thank you, Mr. Cavanah. You may now begin.
Kevin S. Cavanah: Thank you. I would now like to take a moment to read the following: Various remarks that the company may make about future expectations, plans and prospects for Matrix Service Company constitute forward-looking statements for purposes of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various factors, including those discussed in our Annual Report on Form 10-K for our fiscal year ended June 30, 2013, and in subsequent filings made by the company with the SEC. To the extent the company utilizes non-GAAP measures, reconciliations will be provided in various press releases and on the company's website. I will now turn the call over to John Hewitt, President and CEO of Matrix Service Company.
John R. Hewitt: Thank you, Kevin, and good morning, everyone. Yesterday, Matrix Service Company released our fiscal 2014 Q1 results. These results are very strong and continue to demonstrate the progress we are making toward our long-term strategic objectives. As we have stated on previous calls, our safety performance is driven by our culture and values. We encourage all of our employees to be safety leaders in all aspects of their lives. We call this a safe 24/7 lifestyle. We ask each employee to understand that their individual leadership and decision-making makes a difference in the lives of the people that they come in to contact every day. This aspect of our business is a key differentiator to our clients and build shareholder value through repeat business and creation of new business opportunities, but more importantly, by creating an attractive safe working environment for our current and future employees. We're very proud to report that our Industrial segment continues to gain traction with our clients. Backlog has grown over 300% since this time last year, and gross margins achieved 7.8% in the quarter on revenues of just over $22 million. Our teams are doing a great job of executing projects and building a brand recognition in these segment's key markets. Our leadership team in the mining and minerals portion of the segment has performed tremendously as they continue to gain market share. Our Electrical Infrastructure business, while appearing to be flat from a revenue perspective as compared to last year, did not include any revenues from [indiscernible] the first quarter of fiscal 2014 as it did in 2013. Backlog is lower from the same quarter last year, but this is primarily caused by the timing of awards and the effect Hurricane Sandy had to the spending patterns of key clients in the region. Overall, the substation, transmission and distribution business [ph] activity remain robust and our position in the market is solid. This segment continues to be a key growth area for the company and we are confident of its long-term performance. Tank and terminal opportunities in our Storage Solutions segment continues to be very strong. Overall, backlog from Q1 2013 has increased by nearly $120 million or 44%, and gross margins are achieving expectations at 11.9%. The majority of our key clients continue with their capital investment plans and we are confident in our ability to capture a significant amount of this spend. The expansion of our balance of plant services across the segment has strengthened, which is creating more opportunities. We are also pursuing more specialty industrial projects that will allow us to apply our cryogenic engineering and construction skills with transportation fuels, ethane and LNG peak-shaving tanks and terminals. We continue to diversify our Oil Gas & Chemical client base. We have expanded our refinery reach in service offering while working with more clients throughout the United States. In addition, our ability to leverage the Industrial cleaning portion of this segment and pad management activities has created a big differentiator for the business. Project opportunities remain strong and margins are consistent with our expectations. Overall, the business is performing as envisioned in our strategy and we see continued growth opportunities in all our segments. The strong liquidity position of the company, including a record cash balance of $80 million, allows us to focus on the critical personal and capital investments, as well as strategic acquisition targets. I will now turn the call back to Kevin to discuss the details of our financial performance. Kevin?
Kevin S. Cavanah: Thanks, John. The revenues for our first quarter were $226.2 million compared to $209.6 million in the same period last year. The 7.9% increase in revenues was due to strong growth in our Industrial and Storage Solutions segments. As a result of the higher business volume and improved gross margins, we increased our quarterly net income to $6.6 million and our fully diluted earnings per share to $0.25 as compared to net income of $4.7 million and fully diluted earnings per share of $0.18 in the prior year first quarter. Consolidated gross profit increased from $22.2 million in the 3 months ended September 30, 2012, to $25.5 million in the 3 months ended September 30, 2013. The increase of $3.3 million, or 14.9%, was primarily due to higher revenues and improved gross margins. Gross margins increased from 10.6% in the first quarter last year to 11.3% in the first quarter of fiscal 2014. SG&A expenses were $14.7 million in the 3 months ended September 30, 2013, compared to $14.3 million in the same period a year earlier. SG&A expense as percentage of revenue was 6.5% as compared to 6.8% in the same period last year. Moving on to our segments. The Electrical Infrastructure segment revenues were $32.9 million in the first quarter as compared to $33.3 million in the first quarter last year. As John mentioned, the first quarter of last year benefited from storm restoration work and the aftermath of Hurricane Isaac. We did not experience any significant storm work in our recently completed quarter. The mix of work in the quarter, combined with the lack of storm work, contributed to the decline in gross margins from 14.1% in the prior year first quarter to 10.1% in the fiscal 2014 third -- first quarter. The Oil Gas & Chemical segment revenues were $62.5 million in the 3 months ended September 30, 2013, as compared to $67.1 million in the first quarter last year. Although our revenues were down slightly, we were able to improve our gross margins to 12.1% as compared to 11.7% in the prior year first quarter. The first quarter revenues for the Storage Solutions increased from $104.2 million in fiscal 2013 to $108.1 million in fiscal 2014. In addition to growing revenues, we improved our gross margins from 9.6% in the first quarter last year to 11.9% in the first quarter of fiscal 2014. Revenues for the Industrial segment increased from $5 million in the first quarter of fiscal 2013 to $22.7 million in the first quarter of fiscal -- of this fiscal year. The significant increase is a result of growth in mining and material handling projects, along with the continued execution of the [indiscernible] fertilizer project. Gross margins improved significantly from a negative 6% in the prior year first quarter to a positive 7.8% in the first quarter of fiscal 2014. The prior year was negatively impacted by start-up costs related to our entry into the bulk material handling and mining and mineral markets. We are now focused on continuing to capture additional opportunities while enhancing our margin profile. Backlog during the first quarter of fiscal 2014 was strong. Our book-to-bill was 1.2 as a result of $272.3 million in new projects. This performance, which was led by our Storage Solutions segment, increased our backlog to a record $672.8 million as compared to our $534.6 million backlog at the end of the prior year first quarter. At September 30, 2013, our cash balance was $79.8 million as compared to $63.8 million at the beginning of fiscal 2014. The cash balance, along with the availability under the senior credit facility, resulted in liquidity of $188.7 million as of the end of the first quarter of fiscal 2014. The management of our balance sheet is truly important to the company's success, and we believe a strong financial position allows us to capitalize on strategic organic and acquisition growth opportunities. We are pleased with the start of our fiscal year and with the overall performance of our business. The start of the fiscal year was consistent with our expectations, so we are maintaining our previous fiscal 2014 guidance of revenues between $980 million and $1.04 billion, and EPS in the range of $1 to $1.15 per fully diluted share. We have completed our prepared remarks, so we will open the call up for questions.
Operator: [Operator Instructions] And our first question comes from Martin Malloy from Johnson Rice.
Martin W. Malloy - Johnson Rice & Company, L.L.C., Research Division: Could you talk a little bit more about the areas where you're seeing bidding activity for the Storage Solutions side, some of the subsegments that are stronger?
John R. Hewitt: You mean geography?
Martin W. Malloy - Johnson Rice & Company, L.L.C., Research Division: Geography or types of projects.
John R. Hewitt: So I guess a couple of thoughts there. We are -- we're continuing to see some small amount of bidding activity and budget awards in Cushing, even though that certainly is not the big part of where our business has been historically. Outside of that, we're seeing bidding activity throughout the U.S. Some of the stronger areas for bidding activity right now is in Western Canada for us. And I would say, kind of in the Midwest, we're doing some significant work up in the Midwestern region on storage projects, as well as some of the balance plant work. We've been very busy right now on the balance of plant work in, actually, in Cushing for a project that we got involved with here late in the quarter. And then Gulf Coast bidding activity is very strong, we're seeing a lot of projects down there. And so it's a mix. But if you'd pin us down to where we see the biggest volume of work coming, it's -- right now, it's in Western Canada.
Kevin S. Cavanah: Marty, I think one of the other changes is in the past when we were talking about Storage Solutions, we were primarily talking about the tank portions of terminal builds. And I think, today, we're seeing a lot more balance of plant. John mentioned a couple of those in his comments. So I think that's contributing to a good portion of the growth in backlogs.
Martin W. Malloy - Johnson Rice & Company, L.L.C., Research Division: Okay. And then just within Storage Solutions, do you all play a role in terms of LNG tankage for small to midsized liquefaction units or any of the dispensing stations for LNG?
John R. Hewitt: So we see that as a -- I think we've talked about on our previous calls where the large export terminals or the conversion of import terminals to export terminals would be opportunistic event for us, that a lot of tankage have already been put in place. But yes, the transportation fuels for ships, for trains, for vehicles, whether that's at a port or at a logistics transfer station, we see those -- that market becoming harder and more opportunities are opening up for us, both in feed work through our engineering business in Pittsburgh, as well as construction in EPC opportunities. So we would see that growing and become a bigger part of our Storage Solutions segment as we move forward.
Operator: And our next question comes from Tahira Afzal from Keybanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: First question is really in terms of EPS driver. Your -- the quarterly reach you're running at right now is, if I was to extrapolate that, obviously, assuming earnings power to improve progressively during the year, would you see that as broad based as you look at your division? So do you think it's a little more skewed towards 1 segment in particular? I assume it's Storage Solutions to a greater extent, but would love to get your thoughts on that.
John R. Hewitt: So I think you've got multiple questions wrapped up in that question. So no, I think, certainly, the Storage Solutions segment, with the extent of the backlog with the bidding activity there, we continue to see that as fairly strong throughout the course of the year. A lot of that, that work, our electrical business and to some extent our Industrial segment, is going to be dependent on timing of awards. As we talked about in the past, that stuff can move around, when the start dates are, permitting whether, those types of things. So there can be some ups and downs through the course of the year. At this point, though, in the year, I mean, we -- we've reaffirmed our guidance. We feel very comfortable that the guidance that we provided here at the start of the year will continue to be a good place for us to be. So I'm not sure I answered your question exactly, but I'm not sure I understood your question.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: It actually does help some of the questions. And I guess, as you look back to -- as you look at where -- how the timing of these projects are playing out to date, and I know we're still early in the year, where would you think the timing's been in line to better than expected and what kind of flow versus what you thought?
John R. Hewitt: Well, for instance, I mean, in our Electrical segment, the timing of awards there have been a little slower than what we had expected, and a lot of that has to do with the -- I think to some extent, it's got to do with the impact from Sandy on our client spending patterns. They, fortunately or unfortunately, Hurricane Sandy demonstrated to them weaknesses in their system that they didn't understand were there. And so areas where they thought they needed to make repairs and upgrades, that scope, that focus there has been changed. And I think so it's taken them some time to reorganize and refocus themselves. So on that part of the business, I think we were a little bit off expectations on how the bookings would flow through that. But I would tell you we're continue to be -- our teams have continued to be very busy on what they're looking at from a bidding and proposal standpoint. As far as our other 3 segments, I would say they're, for the most part, are behaving as we expected.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Awesome. Okay, great. And if you look, John, at your prospect list there, Kelly, your commentary and all your peers' commentary are still positive. If you look at your prospect list today versus a years ago on the electric side, would you say it's grown?
John R. Hewitt: I would say that the project potential and proposals volume that we are sifting through today would be similar to what you have -- someone would have seen a year ago.
Operator: And our next question comes from Mike Harrison from First Analysis.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: Just in terms of looking at the revenue guidance, I'll try and ask maybe a similar question. You're at roughly $900 million annual run rate. Was just hoping to get some sense of how you expect the revenue progression over the next 3 quarters in order to get to that $982 million, $1,040,000,000 revenue range. Should we be modeling something like a gradual ramp over the next 3 quarters? Is it back-end loaded or are there some seasonal and timing bumpy factors we should be thinking about?
John R. Hewitt: So I don't know if that it'd be appropriate for us to say that we think it's going to be the same numbers quarter-after-quarter. Certainly, the backlog is going to start rolling off at a faster rate through the next 3 quarters than it has to date and work that we see that we're going to be booking both in a -- or have booked in the Oil Gas & Chemical segment, we expect to be fairly strong on that piece to the back half of the year rather than first half. So I don't think we're looking at a hockey stick. I just think that as we move through the course of the year, the revenue burn will gradually improve.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: Okay. In the Oil Gas & Chemical area, we're hearing there's quite a bit of outage activity planned during the December quarter at refineries. Are you expecting your turnaround activity to be better next quarter?
John R. Hewitt: I don't think. I think we're pretty much expecting it to be -- I would say probably for us, in our third quarter, which starts in January and into the -- the third quarter would be a little bit stronger for us than the second. We don't -- our guys are pretty busy. They're pretty active booking and winning work. The thing to remember in that segment, we've said before, is that the -- is the revenue rolls off pretty quick in the quarter. And 2 is it's tough to judge that the overall revenue rate for the -- for that refinery business, especially turnaround business, because we go into a project at an estimated X dollars amount, and then once we get in and started opening up pieces of the equipment, that scope could, say -- it could grow at double or triple or quadruple, which is something that happened to us last year. And that's very difficult for us as the contractor and frankly, I think, our owners to judge what that's going to look like once they shut the plant down. So we could go into the quarter we're in now, we're into the third quarter with an expectation of a certain level of refinery turnaround activity and it could double or 1 project could double or they may -- they could stay totally flat. So it's a tough -- it's tough for us to judge that.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: Okay. Last question I have is on the TransCanada alliance. Any early wins or activity on that front that you can discuss?
John R. Hewitt: So we're -- I mean, we are continuing to work through that alliance, in that relationship, we are actively bidding, planning and currently working on multiple projects for them both on -- in the U.S. and in Canada. We are in the process of staffing and starting a project down in Houston Ship Channel area. We are actively engaged with them on balance of plant work out in Cushing. They have asked us to step in on -- for -- with them, one from another contractor. And so the alliance is active. We're working through it and we are very pleased with that relationship.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: All right, let me sneak in one more. When you mentioned balance of plant work, what does that mean to you guys? Is that typically higher margin work? Is it kind of icing on the cake if you get the tanks and the balance of plants? How should we think about that?
John R. Hewitt: Well, balance of plant work, we would -- our preference would be to do that with the tank work. It gives us control over the site. It gives us better control over access, logistics, labor at the site. So our expectations as we move forward is that, that would have similar margins as our tank business.
Operator: And our next question comes from Matt Duncan from Stephens Inc.
Matt Duncan - Stephens Inc., Research Division: First of all, I've got, John, just a follow-up on that last one. The balance of plant work for TransCanada, is the intention that you would do that for most of the projects work on for them? For example, that Hardisty terminal that I know you've started working on up in Canada, are you doing just the tanks there? Or do you have balance of plant work there as well?
John R. Hewitt: No, we just have the tank works there. So our relationship with TransCanada as it relates to the balance of plant work is more variable up in Canada than it is in the U.S. We don't -- do not have the self performed skill sets built up in Canada that we do in the U.S. And so the Canadian opportunities right now are just all tank. In the U.S., our relationship, while it's focused on tank work, is sort of optional, first right of refusal-type thing on the balance of plant work in the U.S.
Matt Duncan - Stephens Inc., Research Division: Okay, that helps. And then looking at gross margins, the last couple of quarters, you guys have had a pretty darn good performance there. It's been improving quite a bit, I think, maybe kind of back to where you had hoped it might go. And Kevin, maybe coming at the guidance question a little bit differently here, it looks to me like anywhere in your revenue range, assuming that you can maintain these gross margins and probably improve them a little bit with more volume, that you're pointed towards the higher end of that earnings guidance. Is that a fair observation at this point?
Kevin S. Cavanah: Well, I think that -- I think when we gave guidance beginning the year of $1 to $1.15, that was our best estimation. The first quarter came in really close to what we expected, and so we and the development of our backlog, the development of the year, it hasn't changed significantly, so we're sticking with the guidance we've provided.
Matt Duncan - Stephens Inc., Research Division: Okay, But is there any reason why the gross margins would go down from here? It seems like there's certainly opportunity to continue improving them. As you look at it segment-by-segment, for example, the E&I gross margin this quarter was below your targeted range, and I would think you think you're going to get back to that range again. So should we expect to see you, at worst, maintain this gross margin and maybe improve it for that reason?
Kevin S. Cavanah: Yes, I think that our expectations are to continue with the performance we've seen in the Storage and Oil Gas & Chemical segments. The Industrial segment already is starting to achieve the range that we were expecting. So [indiscernible] yes, we'd like to see those margins a little bit higher. Overall, we're fairly pleased with the first quarter margins.
Matt Duncan - Stephens Inc., Research Division: Okay. And then last couple of things for me. On the Industrial segment, are you seeing any additional opportunities, John, at fertilizer your plant that you started working on? I know you had thought previously there might be more for you to do there. Where are you at in terms of that bid process?
John R. Hewitt: We're actively bidding other pieces and sections of the of the -- of that facility. And some of them are in the process of being proposed. One of them had been turned in. We're waiting for -- to hear on whether we were successful or not. So there are a couple of packages that we have are in -- are bidding or have bid. And so I can tell you today we haven't lost any, so that's a good thing.
Matt Duncan - Stephens Inc., Research Division: Yes. I mean, are those competitive bids? Or are they giving you a first crack at them since you've already got people there?
John R. Hewitt: No, they're competitively bid.
Matt Duncan - Stephens Inc., Research Division: Okay. All right, and the lasting thing I've got is just on the M&A pipeline. Obviously, the cash balance continues to build. Your available liquidity is pretty hefty for you to be able to go out and do some acquisitions. Talk a little bit about what you're seeing, what the process looks like right now. Do you have anything that feels like it might come out of that funnel some time this fiscal year? Or would your expectation -- that you can start closing some deals?
John R. Hewitt: So we're -- I know it probably doesn't look like it to you guys from the outside because we haven't done any big deals. And so it's kind of like tennis player Björn Borg when we was winning all kinds of championships, and all of a sudden he dropped out of the -- he dropped out. No one could figure out why. So we're busy looking at acquisition opportunities. We are constantly sifting through those. Some of the acquisition opportunities that occurred this year that popped up with -- by other people, we -- were opportunities that we looked at and that we decided, for one reason or the other, either because of culture or because of pricing, that we wouldn't go forward with those. So we're continuing to look at them. We've got 3 or 4 continually that we're looking at and studying. And so I can't promise you guys were going to do an acquisition in this fiscal year, but certainly those opportunities are presenting to us and the pipeline's been pretty strong.
Operator: And our next question comes from Tristan Richardson from D.A. Davidson.
Tristan Richardson - D.A. Davidson & Co., Research Division: Just on the Storage segment, obviously, we've seen great margin expansion there. And I'm curious how much of it is good execution and sort of a lack of hiccup projects versus better pricing in the market.
John R. Hewitt: Yes, storage. So I think it's -- I think we're executing better. We haven't had the hiccups we experienced at the first part of last year. I don't know that the pricing has -- markets changed that much in our contracts. So I think it's more execution.
Tristan Richardson - D.A. Davidson & Co., Research Division: Okay. And then when you look at last year, obviously very strong results out of Oil Gas & Chem and that was sort of the leading segment. With -- where are you seeing backlog going in terms of the mix? And Kevin, you've talked about this on this on previous calls, do you still see Storage Solutions being sort of the growth leader in fiscal '14?
Kevin S. Cavanah: If I may add -- so my take on that is the -- it's almost sort of mathematical. So the storage projects that we're looking at and seeing are individually larger volume projects. So they're -- just by the mathematics of the size of the projects, it will -- it's going to lead on the backlog. So from a numbers standpoint, from a percentage standpoint, I think the electrical business has an opportunity to -- for some improvement there through the course of the year to pick up more backlog. And certainly, the Industrial part -- the Oil Gas & Chemical, like we've said before, it's such a quick turn-type business, growing that backlog quarter-over-quarter is a little more challenging, although it's not necessarily an indication that there's anything wrong in that segment.
Operator: [Operator Instructions] And we do have a follow-up from Tahira Afzal from Keybanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: I just wanted to find out, we've started to see some of your peers talking about wage inflation. I just wanted to get a sense that -- how much of that they are you seeing right now and how are you really accounting for it or the potential of it going forward as you talk to your customers and really hedge ourselves to some extent?
Kevin S. Cavanah: So when we're contacting, we're trying to manage our risk, whether it be commodity prices or wage prices. And so we're trying to build into our contracts escalation provisions. We're not always successful. But it's less of an issue on the short-term projects because they look like, for example, the Oil Gas & Chemical segment that -- those projects are in and out of backlog fairly quickly. So overall, I mean, there may be pockets like up in Canada that we've talked about before where it gets a little tight on labor. But overall, we haven't seen a big impact on wages so far.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Do you expect it to be on its way?
Kevin S. Cavanah: I think that we're -- I think it's there's -- it's a question of when, not if. And so I think with the -- all the plant projects in the Gulf Coast, Texas, Louisiana will have an impact on wages everywhere. And so I think it's something that we're paying attention to. I don't know that we're being significantly affected by it today, but I think we're going to see -- over the course of the next 2 or 3 years, we're going to see some pressure on labor and wages.
Operator: And I'm not showing any further questions at this time. I would now like to turn the call back to CEO, John Hewitt, for any further remarks.
John R. Hewitt: Thank you, everybody, for your attention today, and we look forward to seeing you at some of the future conferences that we're -- that we'll be attending. Have a safe day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone, have a great day.